Executives: Frederick Earnest - President and Chief Executive Officer John Engele - Senior Vice-president and Chief Financial Officer
Operator: Good day, ladies and gentlemen, and welcome to Vista Gold’s Third Quarter 2016 Financial Results and Update on Recent Activities Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Today is Thursday, October 27, 2016. It is now my pleasure to introduce Vista’s President and CEO, and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Frederick Earnest: Thank you, Ron. Good afternoon, ladies and gentlemen. Thank you for joining Vista’s third quarter 2016 annual financial results and corporate update conference call. I’m pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO; and Connie Martinez, our Director of Investor Relations; both of whom are here with me in our corporate office in Denver. The third quarter of 2016 was dominated by relatively stable gold prices in the range of 1,308 per ounce to 1,366 per ounce. In early August, we successfully closed a bought deal offering of units, which significantly improved our balance sheet. Jack will discuss this offering in greater detail later in the call. Over the past year, we have been engaged in a systematic and methodical review of the Mt Todd project. We are nearing the completion of optimization studies started earlier this year and are excited about the implications of this work. I will provide more details later in the call. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I will now turn the time over to Jack Engele.
John Engele: Thank you, Fred. Good afternoon, everyone. I’ll start with our balance sheet and liquidity. As Fred mentioned, we significantly improved our balance sheet during the quarter. Our working capital totaled $30.1 million at September 30, 2016. It was $14.4 million at December 31, 2015. The increase to the current $30.1 million is mainly a result of the equity financing we completed in August. In that financing, we raised $15.9 million net of commissions and costs. We issued a total of 12,362,500 units priced at a $1.40 each. Each unit was comprised of a share and a half warrant. A total of 6,514,625 warrants were issued, including 333,375 book or warrants. Our issued and outstanding shares as of September 30, that’s post-financing totaled 97.8 million shares. Our working capital includes cash and risk-free short-term investments of $24.8 million and about $5.4 million worth of Midas Gold shares. We continue to hold about 7.8 million shares of Midas. The company has no debt. Turning to our statement of income for September 30, 2016. For the quarter, we reported a net loss of $2.1 million, or $0.02 a share. This includes operating expenses of $1.9 million and an unrealized $0.2 million mark-to-market loss on our investment in Midas. The main components of the $1.9 million of operating expenses were $0.5 million of fixed site management cost at our Mt Todd Gold project. I should point out that we defined fixed cost as those expenditures necessary to ensure that we preserve our property rights and meet all of our safety, regulatory and environmental responsibilities. The $1.9 million of operating expenses also included $0.3 million of Mt Todd discretionary exploration and technical studies, fixed corporate G&A cost of $0.7 million, and about $0.3 million of non-cash depreciation and stock-based compensation. Compared to the same quarter last year, total Mt Todd fixed costs in Australian dollar terms remained fairly constant. Similarly, G&A cash costs were substantially unchanged from Q3 2015, so the cost control remains a management priority. Looking ahead, our expenditure guidance remains unchanged from what we have discussed in recent quarters. Mt Todd, we expect our fixed cost to continue to average about $650,000 to $750,000 per quarter with seasonal variations. That’s U.S. dollars per quarter, assuming of course, that the U.S. dollar and the Australian dollar exchange rates remain in the current range. In addition, we will continue to consider strategic discretionary programs, such as updating the 2013 Mt Todd prefeasibility study. Our corporate G&A fixed costs are expected to continue to average about $750,000 to $850,000 per quarter. That concludes my comments I’ll now give Fred the floor.
Frederick Earnest: Thank you, Jack. I’m pleased to report that our Mt Todd site management team continues to operate without any safety or environmental instance, and earlier this summer achieved four years without a loss time accident. We are very pleased with our health, safety, environment and social responsibility achievements and take our stewardship in these areas very seriously. Before I address the technical matters related to the Mt Todd project, I would like to share a couple of observations about the political environment in the Northern Territory. At the end of August, the territory held elections and we have experienced a change in government. The Australian Labor Party won 18 of 25 seats in the Territorial parliament. Some restructuring of ministries has occurred. Most notably for us, the Department of Mines and Energy has been consolidated into the Ministry of Primary Industry and Resources. The newly appointed Chief Executives in this ministry are individuals that we have worked with in the past. And we are pleased to have the opportunity to work with them going forward. We believe the new government to be supportive of well-designed and economically viable mining projects and believe that we continue to enjoy strong support for the development of the Mt Todd project. We look forward to strengthening our relationship with the new government in the coming months, as appointments to key positions are finalized. Our Mt Todd gold project is the largest undeveloped gold project in Australia with 5.9 million ounces of proven and probable reserves at Mt Todd, Vista controls, the third largest reserve package in Australia. On a consolidated basis, it is. ideally located in the Northern Territory of Australia, with paved roads to the site and other existing infrastructure, such as power lines and natural gas pipeline, fresh water storage reservoir, and a tailings impoundment facility. We clearly understand the challenges experienced by previous operators we have identified viable solutions to those challenges and are well advanced with the permitting for this project, EIS having been approved in September 2014. We have earned the trust of the local stakeholders and believe that our social license is firmly in hand. We believe that all of these factors combine to position us favorably compared to our peers in the developer space and to provide our shareholders with exceptional leverage to the price of gold. Since early this year, we have been evaluating opportunities to optimize and improve the economics of the Mt Todd project in the light of improving gold prices and favorable foreign exchange rates. I’m excited about the intermediate findings of process or a test work that is coming to a conclusion. We plan to announce comprehensive results of these optimization evaluations and to discuss our plans for incorporating these results into an updated preliminary feasibility study in the latter part of November. We have been evaluating opportunities to remove some of the lower-grade material from the process circuit early in the process, potentially allowing us to eliminate the expense of processing material that is very marginal in value. We believe that this also opens the door to opportunities for improved metallurgical recoveries and more favorable costs in other areas as well. We have made significant progress toward achieving the authorization required under the Environmental Protection and Biodiversity Conservation Act. We have successfully addressed eight of nine requests for additional information and are actively engaged in dialogue with the Commonwealth Department of Environment with regards to the remaining request. We understand the Department’s commitment to technical rigor and due process. We acknowledge their desire for a favorable and dependable outcome that is consistent with the high standards for Environmental Protection and Sustainability that we espouse. We are working toward a successful outcome and now expect that to occur sometime in the first part of next year. As always, I know that there are some on the call today who are interested in the status for our Holdings in Mexico. We continue to receive expressions of interest with regards to the Guadalupe de los Reyes gold and silver project in Sinaloa and have signed several confidentiality agreements. Most of the evaluations are being conducted at the level of a review of the available data. One company has conducted a site visit. We continue to be open to any form of transaction whether that’s a joint venture and earn-in, or sale over the project that represents the realization of true value for our shareholders. I would emphasize that our primary focus continues to be the Mt Todd gold project in Australia. Our Mill equipment continues to be held for sale. But with the significant downturn in the price of gold this month, we are less optimistic that a project will emerge in the near-term that would benefit from the use of the equipment we own. AM King Industries continues to market the equipment package. In conclusion, we’re in the final piece of optimization evaluations that we believe will result in some significant improvements of the Mt Todd project. We look forward to an announcement of these results and the anticipated impacts on the project in the latter part of November. With the bought deal offering that was completed in August, we believe that we now have the financial resources to complete those programs and milestones that are necessary to advance the Mt Todd project to the point of a development decision. Following the announcement of the results of the optimization evaluations, we expect to announce plans and schedules for the completion of an updated preliminary feasibility study and the mine operating permit application. Our plans to undertake this work marks a subtle, but significant shift in our strategy to maximize the value of the Mt Todd project. In the current market, we believe that there is an opportunity to acquire Vista shares at a discounted price. And we continue to believe that Vista is a compelling investment opportunity. We will now respond to any questions from participants on the call.
Operator: Thank you. [Operator Instructions] Mr. Earnest there doesn’t appear to be any questions at this time. I’ll turn the call back over to you.
Frederick Earnest: Very well. Thank you, Ron. Ladies and gentlemen, we appreciate the time that you have given to us this afternoon to listen to this update call. We look forward to having a call in the latter part of November to discuss the results of the evaluations and metallurgical testing programs that we have been conducting this year the results of the optimization studies. And to at that point in time lay out our plans for the completion of an updated preliminary feasibility study. We hope that you will continue to follow Vista Gold and we look forward to visiting with you again in the very near future. Thank you.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you for your participation and you may now disconnect your lines.
Q -: